Operator: Thank you for standing by, and welcome to the Ferrellgas Second Quarter Fiscal ‘23 Earnings Conference Call. [Operator Instructions] As a reminder today’s conference call is being recorded. I would now turn the conference to your host, Mr. Jim Ferrell, CEO. Sir, you may begin.
Jim Ferrell: Thanks, Valerie. Welcome to our earnings call. This call is for anyone interested in the company, which includes, of course, our employees who are owners of what we call Class A equity through their ESOP. You might like to know what we tell them, so you more fully understand what we are doing here: number one, we are here to produce financial results. In other words, putting it rather crudely, to make money. Second, we do that by simply serving customers with first-class service and running the business right. Third, we’re committed to propane. It’s the best, most respected brand in the industry that we have, Ferrellgas and of course, Blue Rhino, both woven together. Fourth, this is our long-term game, not a short-term milking operation to produce results. Five, we invest in people, technology, plants, vehicles and more. A long-term focus with short-term results. We need both. Six, consolidation. We believe we are adding, selectively, quality companies and we have a great team focused on that. And finally, but not last, developing our people while adding great talent. As a result of all this, morale could not be higher and turnover lower. We are proud. We are focused. We are producing. One of the talent adds is our new CFO. It took us a year to find him, so we are happy that we -- that he finally surfaced. Mike Cole is a seasoned financial executive, and he joined us about 3 weeks ago. If you want more information on him, read the 8-K and our press release. Now I’ll hand it over to you, Mike.
Mike Cole: Thank you, Jim. And as an opening comment, I’m excited to join the Ferrellgas team, and excited to be a member of the earnings call this morning. Welcome to our second quarter fiscal year 2023 earnings call, and thank you for joining. I would like to remind you that some statements made during this call may be considered forward-looking and that various risks, uncertainties and other factors could cause actual performance to differ materially from anticipated performance. These factors are discussed in our Form 10-K filed on September 30, 2022, and other documents filed from time to time with the Securities and Exchange Commission. Additionally, we note that the purpose of this call is to discuss the results of our operations for the second fiscal quarter ended January 31, 2023. In the second fiscal quarter, gross profit increased $34 million or 11%, and cost of sales was favorable with a decrease of $35 million or 9%. Margin per gallon increased by $0.13 or 12% compared to the prior year period. The company continues to realize cost savings through its asset utilization management and redeployment of tanks to locations with higher usage statistics. Revenues were flat with a slight decrease of $1 million for the second fiscal quarter. Gallons sold decreased 1% or 2.6 million gallons compared to the prior year second fiscal quarter as the country experienced a warming trend in the month of January 2023 and overall gallons sold during the month decreased 10%, offsetting a cumulative 10% increase in gallons sold during the months of November and December 2022. Operating income for the second fiscal quarter decreased $12.9 million or 10% compared to the prior year period. Operating income per gallon decreased $0.05 or 10% compared to the prior year period. Results were impacted by higher fuel costs and planned maintenance and repairs to our fleet. For the second fiscal quarter 2023 and 2022, the company reported net earnings attributable to Ferrellgas Partners, L.P. of $98.1 million and $108.4 million, respectively. Adjusted EBITDA, a non-GAAP measure, increased by $4.5 million or 3%. The change was primarily due to EBITDA adjustments related to a $9.6 million decrease in gain on asset sales and disposals and a $6.3 million increase in legal fees related to our noncore businesses. I will now turn the call over to our Chief Operating Officer, Tamria Zertuche, who will provide an operational overview.
Tamria Zertuche: Thank you, Mike. As Jim indicated, we have a goal of consolidating in this great industry, Ferrellgas welcomed Rez-Bear Propane in Harris, New York as its newest acquisition to the Ferrellgas family during the second fiscal quarter. We announced Blue Rhino’s 2023 partnership with the Steak Cookoff Association, which is the world’s largest grilling competition for backyard chefs. This partnership is a natural fit for Blue Rhino, the tank exchange brand of the company. The competition has 650 events scheduled this year in 46 states and 15 countries. We celebrated our employees this quarter. First, in a holiday event that included our employees and their families via a virtual gathering. You might know, we are still fully work from home for our corporate staff and are enjoying the benefits of that. We then focused on our performance via the Ferrellgas Flame Award program. This award was presented to hundreds of Ferrellgas employees who were nominated by their peers. These employees, along with the almost 4,500 other Ferrellgas employees are directly responsible for the results that Jim and Mike and I have shared. We acknowledge, fully acknowledge and thank these employees. These employee owners here on this call and every day. When you look into this organization, you see highly engaged employee owners looking for ways to continuously improve on our value proposition. As Jim said at the top of this call, our value proposition is our winning brands, our best-in-class logistics and the clean affordable portable product we provide to our customers. Our strategic initiatives continue to hold our operating cost flow and they specifically, they create opportunities for growth. But at the heart of it all, we put our employees first. And in turn, they put our customers first. We are committed to Fuel Life Simply for every Ferrellgas customer. Jim, back to you.
Jim Ferrell: Thanks, Tamria. We didn’t get any further questions during the period of time when you could have submitted them. And that you all know, I hope that you can submit questions directly to our site. You can -- we give you a way to do that. And we’ll be happy to answer them, take care of them in due time. So thank you very much for tuning in today and for listening to us.
End of Q&A: Thank you. Ladies and gentlemen, this does conclude today’s conference. Thank you all for participating. You may now disconnect. Have a great day.